Operator: Welcome to the Flexsteel Industries Inc. Second Quarter Fiscal Year 2012 Conference Call.  At this time, I will turn the call over to Mr. Tim Hall, Flexsteel's Senior Vice President of Finance and Chief Financial Officer. 
Timothy Hall: Thank you, Jessica, and good morning, everyone and welcome everyone to our second quarter fiscal year 2012 conference call. We appreciate your participation this morning. Joining me this morning is Mr. Ron Klosterman, our President and Chief Executive Officer.
 We may make forward-looking statements during this call. While these statements reflect our best judgment at the present time, they are subject to risk and uncertainties that we've described in our SEC filings. Accordingly, our actual results may differ materially from our current expectations. We undertake no obligation to update any of the forward-looking statements made during this call.
 I would like to highlight some of the items from our second quarter press release before I turn the call over to Ron. 
 Our net sales for the quarter were $85 million compared to $82.8 million, an increase of 2.6%. Our residential sales increased $3.5 million or 5.4%. Our commercial seating -- commercial products had a decrease for the quarter of approximately 6.5%. For the 6 months, our sales were $166.5 million, about 2.1% lower than the previous 6 months, prior-year 6 months. Our residential sales for the 6-month period were basically flat, up about 0.6% and our commercial seating sales were down about 10.3%.
 Our gross margin for the quarter in the prior year was impacted adversely -- adversely impacted by an inventory write-down connected with the facility closing during that quarter. Our SG&A for the current year quarter has been impacted by about $700,000 related to an Indiana civil suit that has been described in our 10-Ks and our Qs. Our decrease in bad debts for the quarter was approximately $700,000 as well.
 On a 6-month basis, we've had those same legal fees that have amounted to about $1 million in the first 6 months of this fiscal year and our bad debt expense has been decreased by about that same $1 million.
 Our net income per share was to $2.9 million or $0.42 per share for the quarter and on a 6-month basis were at $0.76 compared to $0.65 in the prior year keeping in mind the prior year included the facility closing costs that were on a separate line and then also the $600,000 that was in their cost of sales.
 Our balance sheet remains strong and our working capital is about $102.8 million and we have no bank borrowings.
 At this time, I will turn the call over to Mr. Ron Klosterman. Ron? 
Ronald Klosterman: Thank you, Tim, and good morning, everyone. Just to add a couple of comments to what Tim reviewed on the quarter, personally, I'm pleased to see that we had a top line improvement, although it was only 2.5%, a good return to $85 million in revenue and especially pleased with the fact that we generated $4.7 million of operating income, about 5.5% of the revenue line. So we feel there's some strength in there and hopefully, we continue to see improvement in that area. As Tim mentioned, our balance sheet continues to be quite strong and as we have been for the last several years, we continue to focus on the strength of our balance sheet.
 One item that, from June, we've seen a $5 million-plus increase in inventory levels. Although we always like to control inventories, we're comfortable with that increase and actually, it's less than or about $1 million more than it was a year ago in December. So it somewhat reflects the cyclical nature of bringing [indiscernible]  especially from overseas for several of our businesses. We tend to build up inventories in that December quarter and then see them go back down again as we go through the March and June quarters to normally an annual low about at the end of June. So although there is an increase there from last June and a modest increase from December, we think those are well in line.
 Looking at what we're seeing on the strength of our businesses, our residential sales, our incoming orders have shown some nice strength during the December quarter. 
 November, after the High Point Furniture Market, was a very strong order month for us. We had solid business in December and even looking ahead now into the beginning of 2012, our order rate in the month of January was very solid. I just returned from the Las Vegas Furniture Market that took place for residential furniture this week and the market was nicely attended. Dealers seemed to feel reasonably good about what they're seeing in business the last couple of months and although we don't have the final tallies yet, we think it was a reasonably good order-writing market for us also as it can be at times. So we feel good overall about the residential business. We think it's solid. It's progressing to improve although not dramatically breaking loose. We think we have an opportunity for continued growth there.
 The commercial businesses that we participate in have not been as strong. They're certainly light through the December quarter. On the bright side, our commercial office business has shown some signs of strength and improvement in the month of January. Hospitality and Senior Living has bounced around. We had nice order improvement during the September quarter then had a slower December quarter and a fairly flat January as we begin the new calendar year.
 The RV business has been fairly stagnant. The December quarter was down modestly from a year ago. And the concerning part there, although we're maintaining our market share, is that the RV industry as a whole is projecting that calendar 2012 will be relatively flat with 2011. So we're not pessimistic about the RV business as a whole but we're not optimistic that we're going to see a lot of growth as we look ahead to 2012 other than if we can accomplish some additional market share penetration. Otherwise the industry itself, as I indicated, is likely to be relatively flat.
 Overall, we see top line growth during the next few quarters with an increase trending up slightly in our residential orders and less so to relatively flat in the commercial side of our business at this time. For us, the good thing is if residential is strong, that represents about 3.475% of our total corporate volume. So at least if we have to have 1 area that's stronger and 1 that's a little weaker,  it's the larger one that looks stronger at this point.
 Our team continues to focus on cost controls and also last year, as we saw cost increases come through, we've been fairly successful in either mitigating those cost increases or passing those through in the way of sale price increases so that we've been able to maintain our gross operating margin for our domestically-manufactured product. We continue to focus on overhead, both factory fixed costs as well as the employee headcount to make sure that we match capacity with incoming order rates as best we can and I think once again that's reflected in our gross margin numbers, both on the December quarter and a year-to-date basis. 
 So at this time, we'd open it up for any questions that you might have and we can try and address those for you. 
Operator: [Operator Instructions]
 It appears we have no questions at this time. 
Ronald Klosterman: All right. Well, thank you all for joining us this morning. Once again, we're pleased with the progress that we're making. We'll focus on growing our top line in all of our business areas while maintaining a solid gross margin and an operating line. With that, thank you, and we look forward to speaking with you again at the end of our March quarter. Have a good day. 
Operator: This concludes today's conference call. You may now disconnect.